Rudy Sankovic : And welcome to TD Bank Group's First Quarter 2015 Investor Presentation. My name is Rudy Sankovic and I am the Head of Investor Relations for the Bank. We will begin today's presentation with remarks from Bharat Masrani, our CEO; after which Colleen Johnston, the Bank's CFO will present our first quarter operating results. Mark Chauvin, our Chief Risk Officer, will then offer comments on credit quality; after which we will entertain questions from those present and from pre-qualified analysts and investors on the phone. Also present today to answer your questions are Tim Hockey, Group Head - Canadian Banking, Auto Finance and Wealth Management; Mike Pedersen, Group Head - U.S. Banking; Bob Dorrance, Group Head - Wholesale Banking; Riaz Ahmed, Group Head - Insurance, Credit Cards and Enterprise Strategy. Riaz is also responsible for the capital and treasury activities at the Bank. Please turn to Slide two. At this time, I would like to caution our listeners that this presentation contains forward-looking statements. There are risks that actual results could differ materially from what is discussed, and that certain material factors or assumptions were applied in making these forward-looking statements. Any forward-looking statements contained in this presentation represent the views of management and are presented for the purpose of assisting the Bank's shareholders and analysts in understanding the Bank's financial position, objectives and priorities, and anticipated financial performance. Forward-looking statements may not be appropriate for other purposes. I'd also like to remind listeners that the Bank uses non-GAAP financial measures to arrive at adjusted results to assess each of our businesses and to measure overall Bank performance. The Bank believes that adjusted results provide readers with a better understanding of how management views the Bank's performance. Bharat will be referring to adjusted results in his remarks. Additional information on items of note, the Bank's reported results and factors and assumptions related to forward-looking information are all available in our Q1 2015 report to shareholders. With that, let me turn the presentation over to Bharat.
Bharat Masrani : Thank you, Rudy, and good afternoon. I want to comment briefly on Q1 before I turn it over to Colleen for a more detailed review of our results. Overall, I am very pleased with the quarter, earnings per share were up a solid 6% year-over-year with all of our businesses performing well. Today, we announced a $0.04 increase to our dividend up a healthy 9% reflecting the Board’s confidence in the stability and strength of TD’s long-term earnings power. This increase should move our payout ratio closer to the midpoint of our 40% to 50% target range. On the capital front, our common equity Tier 1 capital position remains strong at 9.5%. Let's take a closer look at our financial performance. TD’s earnings of $2.1 billion speak to the strength of our business model, diverse, business mix and organic growth engines which were evident in the healthy loan and deposit growth we delivered on both sides of the border. The strength in both credit and the U.S. dollar were also helpful contributors to our financial performance. Our Canadian retail business delivered year-over-year earnings growth of 8%. This result was fuelled by good volume growth in our personal, commercial and wealth businesses in fact just recently our TD Mutual Funds exceeded a $100 billion in AUMs. We also benefitted from great performances in credit cards and insurance. Strong results in our U.S. retail segment led to a year-over-year increase in earnings of 15%. Good organic growth in loans and deposits, strong credit quality, good expense management and improved margins versus the fourth quarter contributed to an impressive start to 2015. However, we continue to expect modest growth in the U.S. for the full year. We expect credit to normalize, our NIM for the full year will be down compared to 2014 and we anticipate lower securities gains. Our wholesale bank had a solid quarter with good trading results in a volatile market offset by lower fee based revenues. Let me now turn to some of our major focus areas for this year. TD strategy is and has been about growth. We have delivered on this goal in the past and we intend to do so in the future. This quarter demonstrated the strength of our growth engines, but major external forces like technology innovation, regulatory changes and the sustained low rate environment impact our business and industry. We are evolving our strategies to add that to these changes. Let me share a few examples. We are making great strides in advancing our digital and mobile capabilities including modernizing our technology infrastructure to drive agility and improve efficiency. Equally important, these efforts will better serve our customer’s needs across all of the TD’s distribution networks. We continue to extend our service and convenience model into our digital channels. Mobile deposit, remote deposit capture and image enabled ATMs on both sides of the border are great examples. We are also piloting different branch and store formats working to both optimize our retail distribution network and adapt to changing customer preferences. Additionally we are enhancing our products to better meet the needs of our customers. The recent launch and success of our new [indiscernible] product in Canada is a great example. In the U.S. we are very focused on increasing our customer share of wallet by proactively offering new products and services. All these initiatives will help TD to be more responsive to customer’s evolving needs. We are also adapting to a world where many new competitors are unencumbered by legacy systems and using their speed to compete and win. As such we are harder to become fitter and faster organization. Our productivity focus is an important element of this initiative. I said previously that we would redouble our efforts to increase efficiency and streamline our cost base. Well I am satisfied with our expense performance so far, we know we have to do more and we are. We continuously review our Canadian and U.S. retail distribution networks to ensure our branch and store locations are optimized. In last year we reviewed some of our corporate functions. Given our significant growth over the past decade including integrating our acquisitions we have expanded these reviews across the organization. They will take place over the balance of the year. In particular we are focusing on streamlining our executive and corporate management structures outside of our client facing areas. We are working hard at modernizing our processes and infrastructure for better efficiency and effectiveness. Initiatives range from digitizing processes with a view to eliminate duplication to leveraging our North American platform to drive cost savings. And finally we are adding more discipline to our expenses processes and practices with particular focus on all discretionary spending big and small. This is simply a reality of today’s slower growth world. All these initiatives are being carried out in a systematic and a thoughtful way, the TD way. We want to enhance our ability to compete and win without sacrificing long-term growth prospects for short-term gains. It will take some time before we see a meaningful impact to our expense base but we expect to see an improvement in our efficiency in the medium term. Looking ahead a number of economic headwinds will continue to challenge the industry in 2015. I will talk about two that are top of mind with just about everybody, oil prices and interest rates. The Bank of Canada has said the decline in oil prices in unambiguously negative for the Canadian economy. We agree, however the impact will be uneven. Oil producing provinces will bear the brunt of the drop while others including Ontario will likely benefit from a weaker dollar and stronger export demand. From a credit perspective we believe our direct exposure to oil and gas producers is manageable. We are not seeing any signs of deterioration though it is early days. From a business perspective we believe TD is relatively well placed given our higher concentration on business in anterior. In the U.S. the drop in oil prices is equal to a longer waited fiscal stimulus, leaving more money in the hands of consumers. Lower energy prices are likely to be a positive for the U.S. which is already in the midst of recovery. Again I think TD is well positioned to benefit from an improving U.S. economy particularly in our markets along the eastern seaboard where oil prices would help to drive future growth. On the interest rate front during the quarter we saw a flattening of a yield curve and material drop in both short and long rates. The 30 day BA rate dropped by 27 basis points and the five year swap rate by 84 basis points. The impact of these declines will place continued pressure on our margins in Canada. Overall 2015 will continue to be a tough and uncertain environment and increase regulatory expectations and intense competition on both sides of the border. However the fundamentals of our business remain strong and I'm confident in the resilience of our model. The Canadian retail business continues to deliver good results and is well positioned for future growth. The U.S. franchise continues to deliver peer leading loan growth and will further benefit from our exposure to a robust U.S. recovery. Our wholesale business continues to grow by extending his franchise model into the U.S. to take advantage of a strong retail and commercial presence. To conclude, I am confident that our strategy, brand and great people will continue to create value for our customers, grow our franchise and build an even better bank. Thank you very much and now I’ll pass it on to Colleen.
Colleen Johnston: Thanks, Bharat, and good afternoon everyone. Let me take you through our results. Please turn to Slide 4. Turning to Q1, we delivered adjusted EPS of $1.12, up 6% year-over-year. The quarter reflected strong growth in our retail businesses with record results on both sides of the border, solid wholesale performance and a higher corporate segment loss. The quarter benefitted from continued credit favorability and a strong U.S. dollar. Adjusted total revenue increased 4% year-over-year or 2% excluding FX led by strong loan deposit and wealth asset growth, the addition of Aeroplan and better insurance performance. The strong growth this quarter was partially offset by margin compression reduced security gains and lower corporate segment revenue. Adjusted expense growth was 7% year-over-year or 35 excluding FX, half of this quarter’s expense growth was due to business initiatives including regulatory projects. The remaining expense growth was related to base expenses partly offset by productivity savings. As Bharat mentioned, we announced a $0.04 dividend increase this quarter, up 9%. Overall, a solid result for the Bank this quarter. Please turn to Slide 5. This slide presents our reported and adjusted earnings this quarter with a difference due to one item of note which you’ve seen before. Please turn to Slide 6. Canadian retail delivered a record quarter with adjusted net income of 1.4 billion, up 8% year-over-year. The increase was driven by continued good loan, deposit and wealth asset growth, good credit management and strong growth in insurance and credit card earnings including the fourth quarter impact of Aeroplan. Loan and deposit growth was good this quarter, total loan growth was 6% year-over-year with real estate secured lending volume up by 4% and business lending growth up a strong 9%. Card growth also remained strong at 9%, driven by Aeroplan while auto lending grew 15%. Deposits increased by 5% due to strong growth in core checking and savings accounts, up 9%, while business deposits were up 8%. Margin was down 4 basis points sequentially, primarily due to competitive pricing a decline in refinancing revenue and the low rate environment. We expect margins to trend down slightly for the balance of the year reflecting the impact of the continued low rate environment. Credit performance continues to be favorable with the quarter also benefitting from a debt sale. PCL and personal banking was down 29 million, business banking PCL decreased 11 million, mainly driven by higher recoveries. Adjusted expenses were up 8% year-over-year primarily due to higher employee-related cost, including revenue based variable expenses and growth initiatives. These increases were partially offset by productivity gains. Overall, a great start to the year for Canadian Retail. Please turn to Slide 7. U.S. retail, excluding TD Ameritrade had earnings of U.S. 457 million, up 15% year-over-year. Results for the quarter reflected strong organic growth, favorable credit, and good expense management partially offset by margin compression and lower security gains. Revenue decreased by 1% year-over-year, as strong volume and deposit growth was offset by lower gains on sales of securities, lower target revenues and lower margins partially driven by competition. Excluding the decline in security gains and lower target revenue, U.S. retail revenue rose 2% year-over-year. Targets contribution to earnings was relatively consistent year-over-year, the lower target revenues were largely driven by an accounting reclassification. Average loans were up 9% year-over-year with a 3% increase in personal loans and a 15% increase in business loans. Average deposits increased by 5%. Margin increased 6 basis points quarter-over-quarter, driven primarily by an increase in deposit margins as a result of treasury actions partially offset by loan margin compression. We are forecasting some variability in margins over the course of the year, but we expect the full year margin to be roughly at the same level as Q4 of 2014. PCL decreased 31% due primarily to the lower losses in auto lending and real estate secured lending. Expenses were down 3% versus last year. The decrease was driven by strong cost control, a positive pension item and lower target revenue share. Earnings from our ownership stake in TD Ameritrade in U.S. dollars were up 22% year-over-year due mainly to increased TD Ameritrade earnings which rose 10% versus last year; all-in, a strong performance in the U.S. Please turn to Slide 8. Net income for wholesale was 192 million down 17% compared to a strong first quarter last year. Revenue was down 1% year-over-year as strong equities and FX performance was offset by lower fixed income trading. Non-interest expenses were up 5% drive by higher initiatives spent and the impact of foreign exchange. ROE this quarter was 13% reflecting higher allocated capital to the segment and foreign exchange. Please turn to Slide 9. The corporate segment posted an adjusted loss of 143 million in the quarter compared to a loss of 38 million in the same period last year. The elevated loss was a result of prior year gain on sale of TD Ameritrade shares of 38 million, the impact of treasury activities on funding mix including lower preferred share recoveries and lower favorable tax items. Compared to the prior quarter adjusted net income improved 22 million. Please turn to Slide 10, our Basel III common equity Tier 1 ratio was 9.5% in the first quarter versus 9.4% in the previous quarter. The increase reflects solid organic capital generation partially offset by actuarial losses on employee benefit plans due to the decline in long-term interest rates. Overall, we continue to remain well positioned for the evolving regulatory and capital environment. With that, let me turn it over Mark.
Mark Chauvin: Thank you, Colleen, and good afternoon everyone. Please turn to Slide 11, strong credit performance continued across all portfolios during the quarter. Provision for credit loss rates are at cyclically low levels with new impaired formations and gross impaired loan remaining stable quarter-over-quarter when adjusted for the weakening in the Canadian dollar. The provision for credit loss rate decreased to 29 basis points in the quarter, down 4 basis points from Q4 and 11 basis points year-over-year. With respect to the oil and gas sector, a series of stress tests were completed during the quarter to determine the potential impact of sustained low oil prices on the Canadian and wholesale business segments. The test indicated the sustained low oil prices are not expected to have a significant impact on the bank for the following reasons. First, lending within the oil and gas industry is governed by disciplined underwriting standards based on strong collateral positions. Second, unsecured consumer credit exposure to the regions most impacted is less than 2% of the bank’s total Canadian consumer credit exposure. Third, the bank’s higher concentration in Ontario. And lastly deposit impact of low oil prices on our Ontario and U.S. businesses. As result, I don’t believe the sustained low oil prices represent a material risk to the bank. Looking forward I am satisfied that credit quality across the portfolio should remain strong over the balance of the year based on current economic forecast. Now, I'll turn the presentation back to Rudy.
Rudy Sankovic: Thank you, Mark. We'll now open it up for questions. To give everyone a chance to participate, please keep to one question and re-queue if there is time. For those participating in person, can I ask you to identify your name and firm before asking your question? Before ending the call today I'll ask Bharat to offer some final remarks. So why don't we get started in the room. John, you’re the only guy in the room.
Q - John Aiken: John Aiken with Barclays, Mike, I was hoping to pick on you first, I know it’s little bit old news with the takedown that we saw in the number of branches in the U.S., I was wondering if you could update us in terms of what the plans are if you know with expansion within your operations but also address a couple of points that Bharat touched upon in his prepared commentary talking about managing expenses in this type of environment married with the potentially growth that we’re going to see in the U.S. economy at some point?
Mike Pedersen: Lots there and so I think the stats this quarter were that we opened three and we closed 21 stores. You will see us do both and the numbers will go up and down by quarter. We’re still of the view that opening stores in great locations is a fantastic way to ensure continued customer acquisition and continued sales. Our sales activity, our customer acquisition activity is still about 85% through stores. It’s changing but it’s still really important. So we’ll still do that, but clearly given what’s going on in terms of digital adoption, mobile and so on where we’re seeing huge transaction increases both on the service and the sales side. For example 10% of our checking accounts are now sold through mobile and digital. We are also continuing to optimize our store network, so we’ll have more to say on this as the quarters evolve, but we will continue to do both. On expenses I was obviously pleased with the performance this quarter. I would say things did go our way a bit, but even if you ignore those things we were at least flat year-over-year on expenses and I think that’s very pleasing given that we are investing in stores investing in technology, digital, regulatory changes and so on. So productivity is a big focus for us going forward, it involves everything from optimizing our distribution capabilities our cross digital and physical to looking at end-to-end process, to looking at the kinds of organizational issues that fare alluded to et cetera et cetera. I am sorry there was one more thing which I didn’t actually got. 
John Aiken: The outlook for growth on the eventual rise in the U.S. economy in terms of what can we expect in terms of relative deployment of capital within the region. 
Mike Pedersen: Yes, so we are obviously very bullish on the U.S. and the medium to long-term, in the short-term it’s a difficult environment because of the things we talked about before in TD’s case the year-over-year securities gains affect the potential normalization of credit and the year-over-year margin and we still think though that we can deliver modest growth this year and that will continue to invest in the business in digital in technology in improving our store network, obviously any rate increases are upside to all of that. 
Operator: We will now take our first question from Meny Grauman from Cormark Securities. Please go ahead. 
Meny Grauman : Bharat you talked about how it will take time before you see meaningful impact on expenses so just wondered if you could elaborate a little bit in terms of why that’s the case. And then just as a related follow-up if you needed to produce pizza could you speed that up and what kind of signals would you look for in order to give you the sign that it would be appropriate to speed that up?
Bharat Masrani : What I meant by these things that take time, in the sense that you want to make sure this is done in a thoughtful way. We have a fantastic franchise and these are opportunities that are natural for us in the sense that we've grown tremendously over the past few years. We have acquired a lot of companies lot of businesses we have been integrating those but there comes a time where we can optimize our structure so that we are more effective in dealing with our customers get closer to our customers et cetera. So for us this is the effectiveness part is as important as anything else and so we want to do it in a thoughtful way. And frankly our culture is such that we want to ensure that when we do it every secular buyers is well informed and we are doing it in a manner that is consistent with our strategy and what we stand for. So I don’t see this as an immediate need for us, we have been very clear that we are not going to make short-term goals just to meet a particular number. This is franchise building for us, this is how we sustain our model and we feel the pace at which we are going is most appropriate. The second part of your question, we are an adaptable company obviously that is the key hallmark of TD, and if circumstances change obviously we will look at what else we can do to make sure we are adapting. But I am pretty happy with the pace at which we are going, and I think it’s a good thing for our company. 
Operator: We will now take our next question from Steve Theriault from the Bank of America Merrill Lynch. Please go ahead. 
Steve Theriault : I would like to ask a couple of questions cards for Riaz. Riaz next quarter the year-over-year comps get more meaningful with Aeroplan in now for a full year. So maybe timely to provide us with an outlook on how you see that book growing. We've had indications from a couple of other banks that card growth may be picking up a little. So is that through a TD? And you acquired some a number of non-TD customers with the purchase. Can you update us on how much success you have been having cross selling through those acquired customers who weren’t previously TD customers and which products you are having the most success with?
Riaz Ahmed: Yes, Steve, I would say in terms of the outlook I am very pleased with where our sales volumes are going. And I think that we an acquired number of assets and are in the middle of now optimizing our infrastructure and our model. So I think that we are seeing our performance in both the historic card business as well as Aeroplan continues to exceed our expectations and I am pretty happy with where it's at. I think in terms of the acquisitions of direct business, those are -- and the private label portfolios it is not that easy necessarily to franchise those customers to other products. I think we continue to take a look at what we can do on that front, but that is not what the direct mail model generally does and that is not usually what the private label model does either. But as you saw today we did announce an extension of our program agreement with target, so that’s should tell that we’re very happy with that business model as was target and we’re quite happy to have it extended and gives a small confidence to continue to invest in the program and in particularly to your point on the co-brand side of that program we should be able to see a better performance from here on.
Steve Theriault : And obviously optimizing the infrastructure in the model shall I take that to mean there is still little bit of time where you're going to take a pause before it's -- you accelerate that process or not necessarily?
Riaz Ahmed: Well, I think in the cost conversion period just before we entered our conversion of the direct mail MD&A business we had stopped marketing and then into post conversion stabilization period our marketing initiatives haven’t picked up. So, I think that yes you would continue to see some softness, but I am very optimistic that we’ll be able to bring that up as a marketing campaign start kicking back in later on this year.
Steve Theriault : And you mentioned target in earlier in your remarks, I notice the target balances were up for the first time in a little while is that getting back on track and is that momentum sustainable?
Riaz Ahmed: Yes it is getting back on track and yes I think it is sustainable the -- and I think with the extension of the program it gives both parties more confidence to invest in that and I think that you’ll see those investments are made that where the program should expand nicely.
Operator: We will now take our next question from Peter Routledge from The National Bank Financial. Please go ahead.
Peter Routledge: Two of your peers have now reduced their minority stakes and wealth managers, the argument or at least one of the rational for doing so was very expensive in terms of capital are you -- how do you think about that in with respect to Ameritrade and your minority stake in Ameritrade?
Bharat Masrani: We’re very happy with our stake in Ameritrade, this has been central to our world strategy in many, many years it continues to perform well. So, I can’t comment on what others are doing, but we are very happy and this is a key investment for us and is more than just an investment it plays a very important role in our wealth strategy going forward in the U.S. as well, so very happy with our positioning.
Peter Routledge: And in my back analysis would be that as you look at the earnings and contribution both direct and indirect you get from your Ameritrade alliance relative to the capital that would be freed up if you divested yourself entirely of it, seems to me that the ROIC isn’t that great, am I wrong in that assessment?
Bharat Masrani: I mean you can look at ROIC in many different ways, you can look it at a point in time, for us this is very strategic and important in our overall business mix and we’ve been in it for many decades and feel that it provides great value for us and the returns you are talking about I don’t know inputs you are using Peter. But we are happy with not only the strategic positioning, but the returns we are getting, last time I checked TD Ameritrade was trading at $36 and we put their market GAAP at about $20 billion and that would not be a bad return for any investment these days.
Peter Routledge: I get the point if you really divested maybe a heck of a game and heck of a capital for TD just my point.
Colleen Johnston: It's Colleen, maybe I can just clarify, in terms of our total return so we have our direct contribution from earnings but also earnings on the suite deposits in the U.S. retail bank and our returns overall are in the mid-teens, so we’re quite happy with our returns in that business.
Peter Routledge: That’s on the allocated capital to…
Colleen Johnston: Correct.
Peter Routledge: Quick technical question in your Basel III common equity Tier 1 you know there is a big spike in the deduction for the cash flow hedge reserve, what’s driving that is that just currency or something else?
Colleen Johnston: Well that’s driven yes, and on the interest rate side as well.
Peter Routledge: Okay. Does that settle back down or is there -- is that going to be a recurring drag to 2015 in capital?
Colleen Johnston: So there is only certainly parts of that number that actually directly affect capital not all of it, I could take you through the details separately in terms of the piece that does and doesn’t.
Peter Routledge: Okay. So we’ll take it offline.
Operator: We will now take our next question from Robert Sedran from CIBC. Please proceed.
Robert Sedran: Colleen you mentioned the growth in auto lending in Canada and so I don’t know if this is a question for risk or if it's a question for the business line, but a few of your competitors have noted that they have been under emphasizing that business because they don’t like the risk profile. So how does the bank feel about the risk reward in that sector and has it been deteriorating and what might make you deemphasize that business as well, what conditions would you need to see?
Tim Hockey: Rob, it's Tim. From my point of view in the U.S. there is no question that there has been some call it degradation in the U.S. industry but frankly our strategy is almost contrary. We’ve actually gone up market even beyond our original business plan into the prime and the super prime space, I’m just looking at the numbers and I can see our credit scores have gone up, our leverage has gone down, the average term has gone down and our 30 day delinquency rates are dramatically lower than the industry. So I get very much the optics around what’s happened at the frothy end of your auto market but we’re not participating at that level and we’re actually quite comfortable with the space we are in.
Robert Sedran: And I was actually coming more from the Canadian angle Tim, is this a similar story in Canada?
Tim Hockey: We’re not seeing anywhere the amount of change in the profile in prime or the near price space, there has been more activity and entrance into the non-prime space, a number of years ago there was a very small number players. You have to remember in the competitive non-prime space in Canada it gets lots of participation at the best times in the market and all of the participation whether it drives up. We’re a consistent player. We’re very comfortable with our asset quality and our business performance, but right now there new entrance in the non-prime space. But again we’re quite comfortable with our credit metrics.
Robert Sedran: So the Canadian growth rate you’re seeing your are comfortable with and your are comfortable that they are sustainable. 
Tim Hockey: Absolutely and we are taking share. 
Operator: We’ll now take our next question from Gabriel Dechaine from Canaccord Genuity. Please proceed.
Gabriel Dechaine : Good afternoon. Colleen, can you -- dumb the accounting down for me a bit, just to explain the impact that you were referring to on your revenues and on the expense line from target. You said that year-over-year the profit wasn’t that much different but somehow it doesn’t work out that way that there is some accounting.
Colleen Johnston: Yes. So, Gabriel just stepping back on it, so, the way the accounting works for target is that we include a 100% of the revenues, a 100% of the credit losses in our P&L. And then the way that we square the equation is through the expense line which is essentially the revenue share and those lines will move. The accounting classification -- that this quarter was essentially a move between credit losses and revenues, which gives the appearance that revenues, are down more than they are. So when you are in that the various lines out and take some of our own specific cost the net contribution is relatively consistent. But because again if the growth factor it can create some distortions in the individual P&L lines that’s why we like to call it out when it makes the difference. 
Gabriel Dechaine : Okay. But just from an expense standpoint it was there are one of the reasons why expenses were down at most profit share I guess for target, what would the expenses look like if not for that factor?
Colleen Johnston: If not for that factor and the pension credit expenses would have been relatively flat on a year-over-year basis in the U.S. which I think is a terrific result when you consider the investments that we're making in the business obviously the bar being raised on everything we’re doing in our operations there obviously a great sign that the productivity initiatives are working and I know this has been a huge area of emphasis for the U.S. retail bank. So I think a great result.
Gabriel Dechaine : I agree with that. And then Mike or Colleen, on the -- let’s say the fed raises in calendar Q4 whenever it is, would we see a material pick up in your U.S. margins in 2016 all of the equal or do we have to wait a little longer than that?
Bharat Masrani : If you start Colleen I can finish.
Colleen Johnston: So what we’ve talked about in the past is, we’ve talked about various scenarios the one that we cite the most often is 25 basis point increase, but that’s really happening across the curve and what we’ve talked about the first year impact of being of about the 300 million that’s not strictly in the U.S. that’s split between Canada and the U.S. about 60-40. So on that specific question as rates rise we would start to see some benefits but if only the short end moves we wouldn’t see a benefit of that size I don’t know whether Riaz wanted to wait in from a treasury standpoint anything to add.
Mike Pedersen: It’s Mike. I was just going to say that as we’ve said before roughly speaking the benefit to the U.S. is proportional to our share of deposits within the bank. Your specific question I’ll just add one thing. We’ve said to you that we’ve effectively locked in our 2015 deposit margins. If rates were to stay where they are there is some downward pressure. So a 25 basis point increase would mitigate that, but notwithstanding it would clearly be positive for us.
Gabriel Dechaine : And then locking the deposit margin, is that just this year, not next year?
Mike Pedersen: That’s what we’re saying at this point, right.
Operator: We will now take our next question from Sumit Malhotra from Scotia Capital. Please go ahead.
Sumit Malhotra : My question is a two parter for Tim Hockey and first in the Canadian P&C Segment, it didn’t look we saw the normal seasonal decline in the core expense line from Q4 to Q1, that we’ve, that’s been the normal pattern for TD Canada Trust, can you talk a little bit about the project activity that’s been impacting that line and whether we are going to see a more “normalized” expense growth trend especially given some of the revenue headwinds you’ve talked about in the upcoming quarters?
Tim Hockey: Sure, if I take a look at the Canadian retail sort of expense growth, no question that the first quarter was elevated per our normal run rate and there is a number of reasons for that, part of it is actually an elevated level of project spend, part of it is timing and you might think that’s a bit unusual because it’s not normal we tend to have a bit of low investment in Q1 and then ramping up to Q4 as everybody knows and actual fact we’ve got quite a bit of project activity you allude to. I am not going to give specific examples but we’re quite excited about many of the things that will be launched in the spring market, new customer enhancements products for example. So what I can assure is that year-over-year gain will be drifting down throughout rest of the year and this was a bit of an anomaly.
Sumit Malhotra : You’re starting off a little bit behind the 8 ball so to speak, but do you think positive operating leverage in this business line on a full year basis is a reasonable goal?
Tim Hockey: That’s our goal.
Sumit Malhotra : And then second question also for you Tim is on the peer wealth portion of the business, we see on the peer wealth earnings is flat on the both quarter-on-quarter as in more surprised to see on a year-over-year basis despite choppiness recently, I think equity markets over the course of the year have still been conducive and we see that in some of you individual lines like the mutual fund line. So specifically for wealth earnings, is that more of an expense issue in your view as well or is there other parts of the revenue line that are holding that business back?
Tim Hockey: Yes, it’s actually many moving parts though. If you look at the underlying fundamentals as you mentioned we’re actually thrilled with the performance and the asset growth 14% up year-over-year. We’ve mentioned the high water mark we’ve reached on the mutual fund business, in fact our long-term fund sales in the quarter for example were at 63% year-over-year, so we’re accelerating that business. A couple of reasons for why the actual headline 1% year-over-year number is a bit anomalous and that is we had some positives in the first quarter of last year, so we had a high jump off. We have as you know an overweight in the direct investing business and notwithstanding trades were up. The revenues for trades due to mix is a little bit down. New issuance for example for our advisory businesses were down in the quarter. So net, net, net the 1% sort of belies the underlying activity. By the way some of those investments we’re talking about in projects are directly on the platforms in our wealth business and they’ll come to be launched in the spring as well. So at the end of the day we look that we think 1% is the disappointing financing number, we’re still on track to have quite a manageable shot at getting to double digit earnings for the full year in our wealth business.
Operator: We’ll take our next question from Sohrab Movahedi with BMO Capital Markets. Please go ahead.
Sohrab Movahedi: Bharat, you’ve mentioned that obviously focus on expense feeling adequately capitalized, as the outlook improves as you’re able to pull on the leverage you’re pulling on, where do you think the ROE of the bank can go?
Bharat Masrani: We do have, Sohrab, we do have a fantastic business mix but as important as the mix we have is the growth engines and we feel that as long as we are organically growing the bank which we are on both sides of the border and given you know how we measure capital that should be additive to our capital. Now there will be bumps in a quarter-over-quarter depending on what happens with the FX and in Bob’s business or whatever, but overall we feel pretty good about it as long as we are organically growing the bank. We have more customers today than we had yesterday and hopefully we’ll have more tomorrow. And if we keep on doing what we’ve been doing for many years, I see we’ll get descent returns from this activity, so feel comfortable with that. I think if the environment were to go hugely positive obviously that will be hugely positive to us as well, but in the meantime it’s not as if we’re not focused on what really matters is fundamentally growing the bank and growing the bank means better returns for our shareholders.
Sohrab Movahedi: Okay so just maybe, just specifically to that for Mike, Mike on page 7 the U.S. retail ROE as you reported is 8.5%, I mean these are with obviously abnormally low credit loss but also tough margin environment and so on, so when you think over the next I don’t know 12 to 18 months maybe three years something like that, I mean where do you think -- what are you aspiring for as far as ROE in the U.S. is concerned?
Mike Pedersen: Well, our current operating ROE is well into the double-digits and we think we can continue that and improve it. And as we grow the business obviously the goodwill overhang that we have will slowly dissipate. I think the things we want to prosecute if you will to improve that -- are things like the productivity agenda I spoke to earlier obviously in addition to continuing to grow the franchise in terms of new customers and we are doing very well there. Our household acquisition this year was 3.5% which is way higher than the industry. And we also have this big share of wallet opportunity given that this is something we are starting later than other banks, and as I said before we are making tremendous progress on that and I think we will continue to. And one also does hope that eventually rates will start to rise a bit which will help. So I think there are a lots of levers we have at our disposal to positively affect our operating ROE and in combination with the fact that we'll grow organically and goodwill become smaller that should help us going forward. 
Operator: There are no further questions at this time. You may continue. 
Rudy Sankovic: Thank you very much. Bharat I will turn it over to you for final remarks. 
Bharat Masrani: Thanks Rudy. I am very pleased with the quarter, very pleased with dividend increase that we announced. When I look out into the future I am very happy with our positioning business mix and geographic diversification that we have in our businesses. So looking forward to make sure that we continue to perform in the appropriate way which is the TD way, and I should mention that and I can be more proud of our 85,000 TD bankers around the world will continue to deliver for our shareholders on a consistent basis and I thank you for that. And with that Rudy I will pass it back to you. 